Operator: Please standby. Good afternoon, everyone, and thank you for participating in today's conference call to discuss, Jones Soda's Financial Results for the Third Quarter Ended September 30, 2021. Before we begin, let me remind everyone of the company's Safe Harbor disclaimer. Certain portions of our comments today will concern future expectations, plans and prospects of the company that constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all statements containing verbs such as aims, anticipates, estimates, expects, believes, intends, plans, predicts, will, may, continue, projects or targets and negatives of these words and similar words or expressions. Forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those indicated by the forward-looking statements. Factors that could affect our actual results include, among others, those that are discussed under the heading Risk Factors in our most recently filed reports with the SEC, including our annual report on Form 10-K, our quarterly reports on Form 10-Q and our current reports on Form 8-K. In addition, this call includes discussions of certain non-GAAP financial measures. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on the company's website under Investor Relations. I'd like to remind everyone that this call will be available for replay through August 11, 2021, starting at 7:30 p.m. Eastern Time tonight. A webcast replay will be also available via the link provided in today's press release as well as on the company's website. Now, I'd like to turn the call over to the President and CEO of Jones Soda, Mark Murray.
Mark Murray: Thank you, James. And thank you everyone for joining us today. I am pleased to say we had another strong quarter driven by our core Bottled Soda business. Revenue for the quarter increased 29% to $4.6 million, marking our fifth consecutive quarter of revenue growth. We also are reporting positive income from operations for the second consecutive quarter. Something we haven't done since 2006. Our strong results this quarter are evidence that our turnaround strategy, which we put into place at the end of 2020 is working. It's been a team effort. And I want to thank our dedicated employees and stakeholders for all the work they've done as we continue to develop and grow the business. On the call today, I'll provide an update on our sales performance, marketing initiatives, operations, and our planned cannabis initiatives. We will then end with a Q&A session. Before I get into these topics, I'd like to hand the call over to Joe to discuss our strong financial results for the quarter. Joe?
Joe Culp: Thank you, Mark, and good afternoon everyone. Total revenue in the third quarter increased 29% to $4.6 million, compared to $3.5 million in the third quarter of 2020. This increase was primarily due to continued growth in our core bottled soda business. Gross profit as a percentage of revenue increased 600 basis points to 32% compared to 26% in the prior-year period. The improvement was a result of the continued shift to a higher margin product mix, which includes the recovery of our food service business. Operating expenses in the third quarter were $1.4 million, compared to $1.3 million in the same year-ago quarter. This includes a slight uptick in spending related to sales and marketing along with the general corporate expenses to facilitate growth. Net loss in the third quarter improved to $59,000 or $0 per share compared to a net loss of $450,000 or negative $0.01 per share for the prior-year period. Adjusted EBITDA in the third quarter improved to positive $72,000 compared to negative $324,000 in the year-ago quarter. These profitability improvements are the results of our efforts to optimize margins and manage costs, both of which are key focus areas as we move forward. Moving on to the balance sheet. On September 30, 2021 cash and cash equivalents were $5.9 million compared to $4.6 million on December 31, 2020. Working capital was $7.3 million at December 30, 2021 compared to $5.8 million at December 31, 2020. Lastly, the only debt we carry is the outstanding convertible notes issued in 2018 and our recently issued convertible debenture. We continue to evaluate the possibility of securing a new line of credit. I'll now hand the call back over to Mark for his remarks.
Mark Murray: Thank you, Joe. Great financial results. As mentioned before, it has truly been a team effort. And I want to thank all our employees for their hard work in leading us to our fifth consecutive quarter revenue growth. Let me start with a discussion regarding our sales performance. Our core Bottled Soda business continues to be a driver of growth across all channels. And we remain focused on working with our partners to ensure our products like our top selling Berry Lemonade, Cream Soda, Green Apple, Orange & Cream, and Root Beer Sodas as well as our rotating Special Release series sodas are promoted and displayed effectively in the retail locations. Additionally, new product innovation within our Special Release program, and variety pack offerings continued to deliver incremental volume and revenue and will remain a key part of our strategy as we move into 2022 and beyond. Our sales team is doing an extraordinary job as we continue to strengthen our relationships across the U.S. and Canada with existing key national and regional accounts like Kroger, Safeway Albertsons, Walmart, Loblaws, Sobeys. I am also pleased to say that we just announced that Jones is returning to Meijer stores in six Midwest states, including Michigan, one of our largest and strongest markets. Meijer will be stocking a large selection of sodas including their limited edition Special Release flavors. Now to discuss our foodservice channel, as foodservice continues to recover from the impacts of the pandemic, we continue to allocate resources to this channel, we consider to be an area of high growth, with strategic overlap between foodservice and the convenience channels, we recently attended the National Association of Convenience Stores Conference in Chicago to show off our unique and diverse portfolio of innovative products including packaged beverages, fountain beverages, and frozen dispense products. Continuing with convenience, we had a great success in this channel this summer with a birthday cake soda Slurpee flavor. The product was sold at hundreds of 7‑Eleven locations in the Pacific Northwest. And it exceeded both 7‑Eleven's and Jones expectations being cited as one of the reasons, 7‑Eleven recently won the 2021 Cold & Frozen Beverages Innovator of the Year Award from Convenience Store News. Staying on frozen drinks, another exciting new relationship for us is our partnership with the ICEE Corporation with J&J Snack Foods. Starting in early Spring of 2022, consumers will be able to enjoy a new Jones, Mango Melon flavored ice cream which will be made available to a network of 1000s of corporate and independent convenience stores across the United States. As part of this strategic partnership, we will also be selling a new co branded bottle craft soda product featuring ICEE's top two signature flavors, cherry and blue raspberry. The products will be available across our grocery mass and convenience store channels and will also be a featured part of our successful Special Release program. We're really excited about this partnership and look forward to sharing more details soon. Last quarter, we mentioned that we started distributing Jones products in some alternative channels including HomeGoods and Dollar Tree stores in Canada. We have continued working on expanding this business to drive sales and improve our brand recognition. And I'm pleased to say that we recently increased our distribution to over 240 Cost Plus World Markets stores. Lastly, the Lemoncocco, we continue to see healthy growth following the restructuring of our distribution network in Canada. We'll continue to work with large foodservice customers in the United States, because Lemoncocco is a unique gram ago item in addition to being a great mixer ingredient, there's still more work to do. We're pleased with the progress. Now, an update on our marketing activities. Our team has done a tremendous job driving awareness around the Jones brand at the national level. While we've been known for our unique, and constantly changing labels on Jones products for the last 25 years, the release of our Augmented Reality Program, which we are calling real labels updates that concept takes our brand to a whole new level of engagement with consumers. We attracted a lot of attention towards the program across the U.S. and in Canada over the summer, including a recent cover story in Packaging World Magazine. With over 50 million media impressions around the program so far, we expect this attention to continue as we release new additional series in the program, beginning with the recent kickoff of Zoltar. On store shelves now, consumers can use their phones to bring Zoltar, the fortune teller to life on the bottles of Jones, providing fun words of wisdom with the clever Jones twist. Unveiled at the recent National Convenience Store Show mentioned earlier, the program received a lot of buzz and attention from attendees who stood in line to experience own interactions with our bottles, as well as a real life Zoltar machine. Our engaging and unique labels remain our point of difference. And we're really excited by all the positive feedback we received. Looking ahead to next year since the series continues in Spring of 2022 with fresh, new content creators who help further our brands narrative as people's craft soda. Beyond the lookout for featured content that expands beyond action sports and art to also include music and other lifestyle interests that appeal to our consumers. Further, adding to the increased national awareness of the Jones brand is our limited edition run of Turkey & Gravy Soda. The flavor has been our number one most requested fan favorite. We're pleased by the response to its returns for the store shelves just in time for Canadian Thanksgiving. After more than a decade of consumers asking us to bring it back, we receive an overwhelming amount of excitement from consumers and media with over 1 billion impressions and an estimated ad value of $6.5 million. We expect interest will continue to grow as we get closer to Thanksgiving here in the United States. We continue to invest in our digital capabilities including revamping our website and our E commerce platform. We've made it a lot more user friendly and functional, making it easier for customers to submit photos, for our ever growing photo gallery, find our products using our store locator and order sodas with custom labels from our growing MyJones Program. To round out the marketing discussion I'd like to share that we've hired our first ever Chief Marketing Officer, Bohb Blair. Bohb is an incredibly accomplished marketing executive. And we're thrilled to have him on board, especially as we enter into the cannabis business. It's going to be very important to have us have one individual that has oversight and is the steward of our brand as we embrace this new market. I'm happy to say Bohb has already been hard at work actively developing our go-to-market strategy, our brand and our packaging for the new cannabis business line. Now moving to operations, operationally, despite industry-wide supply chain and inflation challenges, our team continues to do an excellent job meeting demand and delivering superior customer service. We're working closely with our supply partners to manage our costs. And so this year has been challenging beyond anybody's expectations, I'm happy to say through these efforts, we're on track to exceed our 2021 plan. That being said, as we look ahead to 2022, we expect to see continued cost pressures from rising commodity prices and anticipate that we will be affected by sourcing challenges and elevated costs until at least the middle of next year. We will continue to work with our partners to mitigate these challenges. Lastly, an update on our cannabis initiatives. We recently shared that we entered into a definitive arrangement agreement with Pinestar, mark in a significant step is to work towards the development of Jones plant cannabis business line. Additionally, as we mentioned, we recently hired our first Marketing Officer Bohb Blair, will be instrumental in our launch preparation, who is working hard behind the scenes with our team to put together the portfolio and the organization to support the business. We plan to launch with products across formats that combined category opportunity, production capability in our unique brand positioning. Products such as edibles, vapes, and pre-rolls in addition to of course, our beverages. Additionally, we've had several conversations with companies about partnerships, and licensing opportunities and expect many more. We anticipate launching our portfolio in the first quarter of 2022 and we look forward to sharing more details upon the close of the deal. Before recapping the call, and jumping into Q&A with Joe, I want to echo that the health and safety of our employees supply chain partners, distributors, and all stakeholders remains our top priority as the world still deals with the effects of COVID. Let me highlight. One, we reported our fifth consecutive quarter of year-over-year revenue growth. We are reporting a gross margin increase of 600 basis points. Additionally, for a second consecutive quarter, we are reporting positive income from operations, something that hasn't been done since 2006. Two, our core bottled soda business continues to drive our revenue growth and we've made exciting developments in our food service and alternative channels. Three on the marketing side, our augmented reality labels in the release of our Turkey & Gravy have helped create increased national awareness of the Jones brand. Four, operationally, we are taking efforts to mitigate the impact of supply chain headways and expect to report 2021 results that exceed our internal expectations. Five, we announced our definitive arrangement agreement with Pinestar and are working to build a launch or plan cannabis business line, which we expect will be transformational. We are currently working to build the organization, the product portfolio and our go-to-market strategy. We are excited to share additional information once we finalize a deal. And six and most importantly, the safety of our employees, supply chain partners, distributors and all stakeholder holders remain our number one priority. And we will continue to listen to the advice of the health experts. Overall, I'm very proud of the privacy made in the third quarter. And we remain committed to providing best-in-class products and service to our customers and partners. I think our team, our partners and our loyal consumers for their continued support as we execute on our turnaround plan. With that, I'll now turn the call over to Joe for some Q&A session.
A - Joe Culp: Hi, thanks, Mark. Yes, so before wrapping up the call Mark and I would like to address some of the questions we received from investors via email. Over the last few weeks. We have selected what we believe to be the most important and relevant questions to answer. And starting with the first question. Question number one. Could you discuss why you switched auditor during the quarter? I'll actually take this one Mark. As we plan to enter the cannabis market, we believe our former audit firm is not in a position to support businesses associated with the cannabis industry. So that audit relationship ended and we are very excited about bringing our new auditor Armanino LLP on board after evaluating multiple proposals from other firms. There were no disagreements with our prior audit firm and we appreciate all the support they've provided to us over the years. Question number two. The Farmers' Almanac is predicting this winter to be one of the coldest and longest winters. Your sales dropped as temperatures drop. And can you discuss the seasonality of your business?
Mark Murray: Yes, I got this Joe. So there's certainly a seasonality in our business. Our strongest quarters are Q2 and Q3, and then the business falls off a bit in the colder quarters. When we talk about our three year strategic plan, we mentioned how we are focused on food service, club, and alternative channels. And they obviously are there to help increase the revenue. But there is also there to help offset the seasonality and traditional retail. We also talked about product innovation with Variety Pack, Mixer Pack. This will be the first season for our Mixer Packs and that we believe are going to be a great item for the holidays. Our holiday business is also strong with our customized my Jones programs, and limited time offerings such as Turkey & Gravy that help us maintain relevancy during the offseason. We will always have seasonality in this business. But it's our job to work hard to help flatten the curve. And I believe through alternative channels and product innovation, we can get there.
Joe Culp: All right, question number three, as you launched the cannabis line, are you targeting a single geographic market?
Mark Murray: Well, we're not just targeting a single market. We are much more ambitious than that. So we have taken a really disciplined approach and have mapped out targeted geographies as part of our go-to-market strategy, and we look forward to sharing those at a later date.
Joe Culp: All right, question four. How are you handling and preparing for the regulations around cannabis?
Mark Murray: So as a reminder, part of the attraction of this deal is partnering with people who are in the space and can help by providing an experienced and knowledgeable team that can help us navigate regulation. So we are making sure we are tapping the necessary resource resources to help us as we go-to-market.
Joe Culp: All right, that's the last of the questions that I have. We'd like to thank everyone for listening to today's call and we look forward to speaking you speaking with you when we report our fourth quarter and full year of 2021 results. Thank you for joining us.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.